Operator: Good day, and thank you for standing by. Welcome to the Q2 2022 Ducommun Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. And I would now like to hand the conference over to Ducommun's VP, CFO, Controller and Treasurer, Chris Wampler. Mr. Wampler, please go ahead.
Chris Wampler: Thank you, Chris, and welcome to Ducommun's 2022 second quarter conference call. With me today is Steve Oswald, Chairman, President and CEO. I'm going to discuss certain limitations to any forward-looking statements regarding future events, projections or performance that we may make during the prepared remarks or the Q&A session that follows. Certain statements today that are not historical facts, including any statements as to future market conditions, results of operations and financial projections are forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are, therefore, prospective. These forward-looking statements are subject to risks, uncertainties and other factors, which could cause actual results to differ materially from the future results expressed or implied by such forward-looking statements. Although we believe that the expectations reflected in our forward-looking statements are reasonable, we can give no assurance that such expectations will prove to have been correct. In addition, estimates of future operating results are based on the company's current business, which is subject to change. Particular risks facing Ducommun include, among others, the cyclicality of our end-use markets, the impact of COVID-19 on our operations or customers, the level of U.S. government defense spending, timing of orders from our customers, legal and regulatory risks, the cost of expansion and acquisitions, competition, geopolitical developments and disasters, natural or otherwise. These risks and others are described in our annual report on Form 10-K filed with the SEC, and our forward-looking statements are subject to these risks. Statements made during the call are only as of the time made, and we do not intend to update any statements made in this presentation, except if and as required by regulatory authorities. This call also includes non-GAAP financial measures. Please refer to our filings with the SEC for a reconciliation of the GAAP to non-GAAP measures referenced on this call. We filed our 2022 second quarter Form 10-Q with the SEC today. I would now like to turn the call over to Mr. Steve Oswald for a review of the operating results. Steve?
Steve Oswald: Okay. Chris, thank you, and thanks, everyone, for joining us today for our second quarter conference call. Today, and as usual, I will give you an update on the current situation of the company, after which Chris will review our financials in detail. The company remains focused first and foremost on the health and safety of our employees. The team has done an excellent job of safety protocols put in place since March 2020. We continue to follow our best practices in aligning with health authorities. And within the company, we had 106 cases of the Omicron variant in Q2 of 2022. Turning to the Q2 financial results. Ducommun's second quarter performance was very good. The company is delivering year-over-year revenue growth of 9%, in line with 2022 guidance. The commercial aerospace market continued recovery was the real bright spot in Q2 with Boeing 737 MAX business up over 200% year-over-year, and the Airbus A220 also had a significant increase of 200% growth year-over-year. Overall, commercial aerospace with Airbus, Boeing, Gulfstream and others was up over 50% from Q2 2021. I also want to add that our commercial aerospace business showed year-over-year growth now for the fourth consecutive quarter, an excellent sign and we're just getting started. The company's business in defense as well after tremendous growth of roughly 40% over the past 2 years in 2020 and 2021 was only down slightly in Q2, but still delivered a solid performance of over $100 million in revenue. The company posted solid gross profit of 19.9%, which was down year-over-year and was partially impacted by several onetime factors, which Chris will cover in his remarks. In addition, we had strong bounce back for adjusted EBITDA margins to 13.8% in Q2 from the Q1 number, which is very nice to see and expect EBITDA to continue to grow in the quarters ahead. The team also posted adjusted operating income margin of 8.2%, which is good progress through the first half of 2022 as we continue to build on our track record of effective operational leadership and cost management. The quality of earnings is solid too with the company reaching GAAP diluted EPS of $0.34 a share versus $0.69 a share for Q2 2021 and adjusted diluted EPS of $0.76 a share versus $0.81 in 2021. Some key drivers for the lower diluted EPS include restructuring charges, climate fire-related expenses and inventory purchase accounting adjustments for the MagSeal acquisition last December. On customer side, Raytheon Technologies was again our #1 customer in Q2 revenue, and we continue to benefit from the strategic supplier agreement signed with them back in 2019 for the missile and defense business. We've been hard at work with current and new programs, offloading and share shift with them and look forward to continuing to leverage that relationship in the second half of this year and 2023. We're also taking that model now to Northrop Grumman who year-to-date is our third largest customer in revenue. NG has been a real success story for Ducommun since 2018. We have almost doubled the business. This is all part of our plans to build a second defense prime customer, similar to the $150 million a year we do right now with Raytheon. I've also mentioned in the past about the offloading from defense tranche and the benefits for the company. The work continues, we will be in our target about $45 million in 2022, up from roughly $31 million in 2021. We then expect to double it to $90 million plus in 2023 with a great deal of that in our circuit card business for Raytheon. Q2 highlights from raising both the latest offloading win for us on circuit cards for the next-generation jammer. This will be a top program moving forward for the defense industry. The initial water in Q2 was over $15 million. The products were produced at our Appleton, Wisconsin facility and was won due to our high level of performance and strong relationship. We're also driving the SPY-6 offload for circuit cards and 500 of the first card built and tested with excellent results. This is another top program for us. It is going at a conservative pace, which it should, and we hope to be full turnkey on this card in Q2 of 2023. The best news is the long-term run rate of programs already commercialized or in development for our floating for Ducommun will be over $125 million by 2025. For backlog performance, the commercial aerospace backlog increased sequentially from the fourth consecutive quarter from $276 million at the end of Q2 2021 to $419 million at the end of Q2 2022, and over 50% increase. This was led by the 737 MAX Viasat for in-flight entertainment, the A320, A220 and Gulfstream, all which you would expect after coming out of a very tough '20 and '21 for this part of Ducommun's business. Defense backlog remained solid in Q2 as well and ended the quarter at $494 million. The book-to-bill ratio for Q2 was 1.1%, and we are thrilled that for the second consecutive quarter, the backlog for Q2 reached a new all-time high of $976 million for the company. Company's cost actions and lead organizational structure are continuing to pay dividends, too. Our supply chain team delivered another excellent quarter managing materials along with SG&A spending, in particular at the corporate level among the best in the industry. In regards to the revenue outlook comments made last quarter, we continue to see the company at a high single digit this year with the commercial aerospace industry recovery continue to move forward along with our significant backlog in defense. We estimate that revenue will remain very good over the quarters ahead as we see more and more commercial aerospace volume return. Our high narrow-body to wide-body ratio for the business will also help based on the current challenges facing wide-body aircraft, though we were very happy for us and the entire industry to see the 787 news last Friday night. The other bright spot for Ducommun is our business aviation portfolio, up more than 50% in revenue year-over-year with a very strong backlog, especially with Gulfstream. Another important area for the company investors is M&A. We continue to be actively looking for companies that fit our model, continue to be an accelerated to higher results now and in the future. We had a significant win with the acquisition of MagSeal in December. I'm happy to report that the numbers are ahead of plan, the team intact and growth plans on revenue, investment and pricing on the move. Another highlight is our Nobles business acquired in Q4 2019. We are bringing on a new program in the second half of this year, supporting the new Oshkosh Striker vehicle with the ammunition handling system. We will be sole sourced and will increase revenue significantly in the second half of 2022. Finally, we announced and commenced a restructuring initiative in early Q2. Our team is taking this action to accelerate the achievement of our strategic goals to better position the company for stronger performance now and in the future. While we are finalizing some details as to the timing of certain remaining actions and the operations affected, including facility repositioning related expenses, impairment of long-lived assets and severance, we've already taken some actions and related charges during Q2. Now let me provide some color on our markets, products and programs. Beginning with our military and space sector, we posted second quarter revenue of $106.7 million, a decrease versus 2021. Despite being down, as mentioned earlier, it was greater than $100 million, so it was a solid showing for the business in Q2. We saw increases in demand for F-18, F-16, Aegis, Mir missile, MagSeal products and data radar systems. The second quarter military and space revenue represented more than 60% of Ducommun's revenue in the period, down from 70% last year. And this will be changing more over time to reflect our balance with our commercial aerospace business. We also ended the quarter with a solid backlog, as mentioned earlier, $494 million, which represents 51% of Ducommun's total backlog. In our commercial aerospace operations, second quarter revenue increased year-over-year to $57.1 million, driven mainly by bill rate increases on large aircraft platforms, business aviation, in-flight products for Viasat and other commercial aerospace platforms. Ducommun expects a continued improvement in the commercial aerospace markets overall for the rest of 2022 and 2023, and the future is very bright across our product offerings, including our industry-leading titanium structural business. The backlog within our commercial aerospace sector stands at roughly $419 million at the end of the second quarter. And as mentioned, it was over 50% increase year-over-year from Q2 2021. With that, I'll have Chris review our financial results in detail. Chris?
Chris Wampler: Thank you, Steve, and good day to everybody. As a reminder, please see the company's 10-Q and Q2 earnings release for a further description of information mentioned on today's call. As Steve discussed, our second quarter results reflected another period of solid performance. The second quarter saw a strong increase in commercial aerospace revenue. We remain encouraged by the continued strength in the overall travel demand, which should drive higher demand and shipments going forward. We're pleased with many aspects of our first half of 2022 and are looking forward to building on this performance and believe we're in a position to do so. Now turning to our second quarter results. Let me review some of the highlights. Revenue for the second quarter of 2022 was $174.2 million versus $160.2 million for the second quarter of 2021. The year-over-year increase reflects $19.5 million of growth across our commercial aerospace platforms, partially offset by $6.3 million of lower revenue within the military and space sector. A portion of the year-over-year increase is directly attributable to MagSeal, which we've acquired in December of 2021. Thus, our overall growth was a combination of organic and inorganic growth. Ducommun's overall backlog at the end of the second quarter was approximately $976 million, an all-time high for the second consecutive quarter. This reflects recent growth across our commercial aerospace platforms, setting up the company for a strong top line performance for the second half of 2022 and beyond. Our defense backlog remained strong at $494 million, and we remain positioned for a strong second half of the year for our defense business. As a reminder, we define backlog as potential revenue based on customer purchase orders and long-term agreements with firm fixed prices and expected delivery dates of 24 months or less. We posted total gross profit of $34.6 million for the first quarter versus $36.8 million in the prior year period, while gross margins were 19.9% and 23% in 2022 and 2021, respectively. The decrease in margin versus a fairly strong compare last year reflects short-term changes in the product mix, partially offset by favorable manufacturing volume from commercial aerospace and our continued focus on costs, which we've done an excellent job. We certainly expect over time that our segment and company margins reach the type of levels we were able to achieve prepandemic. On an adjusted basis, our gross margins were 21.1% in 2022 and 23.4% in 2021. We are sharing the adjusted gross profit as we have more non-GAAP related cost of sales items than most quarters. Examples of these include our Guaymas fire-related impact, our MagSeal inventory step-up and our inventory-related restructure costs. In addition to these, please keep in mind that the incremental rent and property tax resulting from our Gardena sale leaseback in Q4 2021, which overall was a major benefit for the company investors added 0.8% to the cost of sales in Q2 of 2022. While viewing this by excluding the adjustments, combined with the impact of the Gardena-related incremental costs, our GP would have been nearly 22%. As well, like all manufacturing companies, we are working in a difficult operating environment with regard to supply chain efficiency and labor availability. While we are not immune to supply chain issues, we were able to manage through another quarter without significant supply chain impacts due to our proactive supply chain efforts, executing strategic buys, leveraging our performance center flexibility and utilizing inventory that we had invested in previously. In the past month, challenges around things like material availability while still manageable, are becoming more prevalent. The level of gross profit adjustments will ramp down throughout the remainder of 2022, and we are confident that we continue our margin expansion journey in 2023 and beyond. Ducommun reported operating income for the second quarter of $7.8 million or 4.5% of revenue compared to $13.1 million or 8.2% of revenue in the prior year period. Adjusted operating income was $14.2 million or 8.2% of revenue this quarter compared to $15 million or 9.4% of revenue in the comparable period last year. As a reminder, our definition of adjusted operating income starting last quarter includes an add-back for acquisition-related intangible asset amortization expense. As a result of this change, we have recast prior comparable numbers using this methodology. The company reported net income for the second quarter of 2022 of $4.1 million or $0.34 per diluted share compared to net income of $8.4 million or $0.69 per diluted share a year ago. The decrease year-over-year was primarily due to lower gross profit of $2.1 million and higher restructuring charges of $3.2 million, of which $0.5 million was included as cost of sales. On an adjusted basis, the company reported net income of $9.3 million or $0.76 per diluted share compared to net income of $9.9 million or $0.81 in 2021. Adjusted EBITDA for the second quarter was $24.1 million or 13.8% of revenue compared to $23.4 million or 14.6% of revenue for the comparable period in 2021. Moving back to a $24 million adjusted EBITDA result is a nice step up sequentially from the $20.1 million in Q1 of 2022. Now let me turn to our segment results. Our Structural segment posted revenue of $64.5 million in the second quarter of 2022 versus $57.4 million last year. The year-over-year increase reflects $12.8 million of higher sales across our commercial aerospace applications, partially offset by $5.8 million of lower revenue within the company's military and space markets. Structural Systems operating income for the quarter was $1.3 million or 2% of revenue compared to $5.6 million or 9.7% of revenue last year. The year-over-year operating margin decrease was primarily due to unfavorable product mix. Excluding restructuring charges and other adjustments in both years, the segment operating margin was 9.4% in 2022 versus 12.4% in 2021. As a reminder, the results from our MagSeal business, which was acquired in Q4 2021 are part of the structures business. Our Electronic Systems segment posted revenue of $109.7 million in the second quarter of 2022 versus $102.8 million in the prior year period. These results reflect $6.7 million of higher commercial aerospace revenue, partially offset by $0.6 million of lower revenue across the company's military and space customers. Electronic Systems operating income for the second quarter was $13.6 million or 12.4% of revenue versus $14.4 million or 14% of revenue in the prior year period, primarily reflecting unfavorable product mix, partially offset by favorable manufacturing volume. Excluding restructuring charges and other adjustments in both years, the segment operating margin was 13.9% in 2022 versus 14.3% in 2021. During our Q1 call, and as Steve mentioned, we announced a restructuring initiative that had commenced. Our team is taking action to accelerate the achievement of our strategic goals and better position the company for stronger performance in the short and long term. During Q2, we incurred $3.2 million in restructure charges. The majority of these charges were severance and benefit related. We expect to incur another $3 million to $5 million in expense for facility consolidation, severance and impairment of long-lived assets over the next several quarters. Turning to liquidity and capital resources. We have available liquidity of $137 million. We generated $25 million of cash from operations this quarter compared to $5.5 million in the prior year period. This was a strong result for the company, and we expect to see our contract assets be a year-over-year cash inflow catalyst over the next several quarters. Our 12-month debt-to-adjusted EBITDA ratio was 2.4 and remains amongst the lowest in the last several years. In terms of capital expenditures, we spent $4.2 million during the quarter. Going forward, we anticipate spending between $17 million and $19 million for the full year 2022 for sustaining capital and ongoing product development. As Steve mentioned earlier, subsequent to quarter end, we previously announced we completed a refinancing of all of our debt on July 14 with favorable terms. The new credit facilities are comprised of a $250 million Term Loan A and a $200 million revolving line of credit. So we upsized our revolver from $100 million to $200 million. The new credit facility has a 5-year term and will mature in July 2027. In addition, at the same leverage ratio, the interest rate spread in our new credit facility is more than 200 bps lower than the Term Loan B that we had at the end of Q2 2022, and slightly favorable to the Term Loan A that we had at the end of Q2 2022. In conclusion, in the second quarter, we posted solid results while growing our commercial aerospace backlog, setting us up for continued strong performance for the second half of 2022 and beyond. Our Q2 performance supports our view of 2022 as a transition year with momentum and performance building as we move through the year. I'll now turn it back over to Steve for his closing remarks. Steve?
Steve Oswald: Okay, Chris, thanks. And just in closing, just a few comments here. Well, certainly, it was a very good quarter, a solid first half for the comment coming out of another tough year in 2021. I think for me, the themes are commercial aerospace recovery going to the next level. I believe defense is in good shape, especially with our offloading activity still high. Our acquisitions are performing at a very good level, and we're bringing on new business. Now we do have a lean cost profile. I think that's benefited us throughout the pandemic and, obviously, in 2022, and we had an excellent refinancing outcome. I think it's going to help drive the company to the next level with strong funding. So those are just some of my thoughts as we wrap up the comments. I'd also like, again, this quarter take the time to thank my team, Ducommun employees, along with our investors, suppliers and our other stakeholders for their support. We've been through an unprecedented time in the past few years, and I believe are in excellent shape on moving forward. We've done a great job managing the business and maintaining a level of excellence in 2020 and 2021. I think all that hard and smart work will pay off in the next few years. So with that, I'll open it up for questions.
Operator: [Operator Instructions] Our first question shall come from Ken Herbert of RBC Capital Markets.
Ken Herbert: Steve, maybe just wanted to start off. Most of your defense customers and peers have seen a pretty significant supply chain disruptions in the second quarter. And then subsequently, a lot of them are calling for a pretty significant sort of inflection positively in sales into the back half of the year as some of these near-term issues are transitory and get worked out. To what extent were you seeing similar supply chain constraints? Or to what extent has that maybe impacted your business in the second quarter? And then similarly, are you also perhaps looking on the defense side for an inflection at some point in the back half of the year in line with what a lot of your customers expect to see?
Steve Oswald: Yes. Ken, thanks, and I appreciate the question. So first, we've, I think, done a fairly good job in the first half of 2022. We have an inventory strategy. We do build inventory in certain areas for certain customers. So I think that paid off for us as well, certainly in our circuit card and connector businesses. So I think we've been able to manage it maybe a little bit better than others, partly because of that. So that's my first comment. We think that we're still going to see some challenge, especially when it comes to our card business, okay? I think that for other businesses like titanium sheet and other things, we feel like we either have that managed well or we have an inventory position where we're comfortable for the second half of the year. But I do think that at least in Q3 and Q4, I think there's going to be still some challenges on circuit cards, but we have a plan to kind of work through it, and we don't think it's material.
Ken Herbert: Okay. Appreciate that. And if I could, I appreciate the detail you provided on the offloading opportunity. I think you mentioned that business or that opportunity grows or doubles in '23 with an opportunity up to $125 million or so in '25. How should we think about the margins on this offloaded work? To what extent are you maybe getting a little aggressive initially to win some of this work. And as that volume grows in terms of the offloading, how accretive can that be to margins over the next couple of years?
Steve Oswald: I think a couple of things. First, look, when we do offload from a defense front to stay small, not small, but a very low-cost operation in Wisconsin or Tulsa, Oklahoma, okay? We already had a very positive arbitrage. So we're able to provide that value, which obviously defense brands want, right, along with our performance because there's 2 sides of the offline. First, defense price want to drive margins up. They want cost savings, but they also need the parts, okay? So we've established this track record, I believe, which is going to help us in the near term and midterm as we move forward to the 125. I think margins are going to probably be similar to what we're seeing. And Chris is nodding his head that we're going to probably see similar. We feel that one of the nice things about offloading is we do provide a lot of value there. especially coming from a high overhead operations, say, the defense prime. So we're able to have a little bit more, I believe a little bit more strength on margins as we go forward. Down the road, we think the $125 million number, especially with the SPY-6. This NGJ, I know you're familiar with it, is that's going to be a great program for us. It just came out.
Chris Wampler: Yes. And one other thing just to add in to Ken, to the first question you had, I mean, as Steve sort of alluded to the fact that we have not had significant supply chain issues. And part of that is the flexibility to be able to sort of be agile and to move around any issues that are coming up, which helps. But to your question about the back half of the year, we don't have a huge pent-up demand that's going to all of a sudden break free there. On the customer side, maybe they'll demand, maybe that will break free a little bit more for them. But to Steve's point, we feel like we made a shop pretty well, but there's more work to do, and the environment is definitely tough.
Ken Herbert: Great. And just finally, on commercial aero, Nice to see some volume really flowing through there. Can you just comment where you are in terms of MAX production rates and how you're viewing that through the back half of this year and into early next year?
Steve Oswald: Yes. We're obviously, to your point, we're thrilled, okay, as I mentioned, it's been a couple of tough years, but I think we're in a great position with the MAX, both at Spirit and directly to Boeing. We're running probably right around 28% to 31%, moves around just maybe a little bit, but that's kind of what we're seeing. We're expecting that, and we're planning for that through the end of this year, and we're kind of just thinking that's what it's going to be at least through the first 6 months of 2023. So we're kind of holding firm on where we are right now.
Operator: Our next question will come from Mike Crawford of B. Riley Securities.
Mike Crawford: Steve, maybe I have a different twist on the supply chain question where unlike Mercury Systems, which saw lots of difficulties, particularly securing semiconductor, perhaps your same end neighbor TTMI Technologies last night talked about not having any issues, in fact, having favorable inventory cost of metal coming down but more importantly, is seeing lead times come down. And so the question, I guess, flipped for Ducommun is if you're also seeing lead times come down, does that mean that conversely, we might see some kind of pause in orders from customers that can afford to wait to place their orders or work through some of these buffer stocks you put in place to manage during this post-pandemic period?
Chris Wampler: Mike, it's Chris. I'll jump in first. I mean, to that point, and certainly, you've got some pretty real-time information you're sharing with us there. On our side of it, we're not seeing any consistent messaging of getting a position where lead times are coming down yet. And then to the extent that, that does start to happen, then I think we're a little bit away from where that's going to impact our flow as well in terms of what the customers are going to, when they're going to build that in. I just think it's going to take a while to get there, but that's a little different messaging than what we've been seeing and talking about weekly on our ops calls.
Mike Crawford: Okay. All right. And then just a final question relates to capital allocation. You do have one other, at least valuable California property. Are you exploring the sale leaseback there as you did with your larger property last year?
Steve Oswald: Yes. So that's a great question. I guess it's a TBD. I think that we do have one other major property. We're always looking at [group buying] I'd say we're always looking to create value, okay? I mean the market is still strong out here. I would just say, at this point, we're still reviewing it. I think that's fair to say. And I think that that's probably where we want to leave it on the Q2 call. More information to come.
Operator: [Operator Instructions] And next, we have Peter Osterland of Truist Securities.
Mike Ciarmoli: It's actually Mike Ciarmoli. Maybe guys, just keeper question, quick follow-ups. Just on the commercial aero, the Structural Systems Aero revenues down sequentially. Anything, is that just timing or anything changing around there? I know you just kind of laid out what do you expect from the MAX and kind of going forward. But any color on a little bit of a dip there?
Chris Wampler: Mike, I don't think there's anything systematic there. That's just more just a little bit of timing.
Steve Oswald: Just a little bit of --
Chris Wampler: No constraints. That's just more timing --
Steve Oswald: We're good. I mean we just got back to the airshow not too long ago, and I know people were uptight about engines and forgings and candidly should be. But I mean, from a comp perspective, I mean, we're hungry, we're excited. I mean we want the orders.
Mike Ciarmoli: Okay. And then just on the defense again. I mean we obviously are hearing a lot from your customers in the sector in general. But we are seeing pretty strong order flow out there, and you had a little bit of a dip in the backlog sequentially. What are you seeing in the ordering environment and I guess, the pipeline of opportunities in defense?
Chris Wampler: Yes. I mean I'll start it off and then Steve certainly can jump in. I mean I think on the defense side, again, go back to timing. I mean, we tend to get needle movers that hit not at a regular pacing. So we viewed it as a pretty quiet run to the finish line on defense. And usually, that means there's some activity out there for us in the next quarter. But just from an overall, we're on the pulse of the activity and the opportunities, there's still a good flow.
Steve Oswald: Yes. And we're on some major programs and sometimes, Michael, not go quiet, but Apache is a good example where things move around a little bit that we're going to see a little bit maybe of headwinds every once in a while in a quarter just because of FMS orders and the budget. So you see a little bit of that. But overall, we feel very good about the orders and again, this next-generation jammer, which just was commercialized to the military in 2021. I think that $15 million and the things that are coming, we're pretty bullish.
Mike Ciarmoli: Got it. Got it. And just on really good free cash flow in the quarter, even with some inventory build there. And I think you said you could probably unwind some of these contract assets. What should we expect for second half free cash and inventory build there? And I think you said you could probably unwind some of these contract assets. What should we expect for second half free cash flow?
Steve Oswald: Yes. I would expect, well, first of all, Q2 was we felt very good about Q2, clearly. Our first half, typically, Q1 is very much an outflow quarter. Q2, we start to break even generate a little bit. Q3, Q4, I would look for us to sort of get the same type of performance in that 6-month period that we saw in the 3-month period. So I'd say sort of that free cash flow of that $20 million is probably a pretty reasonable estimate out there.
Operator: [Operator Instructions] And this ends the Q&A session. I would now like to turn the conference back to Steve Oswald for closing remarks.
Steve Oswald: Okay. Thank you, and thanks, everybody, for joining us today. We also appreciate the support of the new time. We feel good about it. And certainly, I'd like to hear your feedback on it as well. But we think this is a good thing for the company, good thing for our cadence, gives us a little bit more of a window of opportunity with our analysts, the 2:00 p.m. slot Pacific Time, just be crowded as you all know. So again, thanks for the change and the support. We're excited about the future. We appreciate, again, all the support. We wish you a great day and a safe one and look forward to again speaking soon.
Operator: Thank you all, you may disconnect, and have a pleasant day.